Operator: Greetings, and welcome to TopBuild's Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, P.I. Aquino, Vice President, Investor Relations. Thank you. You may begin.
P.I. Aquino: Good morning, and thank you for joining us today. I'm joined by Robert Buck, our President and Chief Executive Officer; and Rob Kuhns, our Chief Financial Officer. We've posted our earnings release, senior management's formal remarks and a presentation that summarizes our comments on our website at topbuild.com. Many of our remarks today will include forward-looking statements, which are subject to known and unknown risks and uncertainties, including those set forth in this morning's press release, and in the company's SEC filings. The company assumes no obligation to update any forward-looking statements because of new information, future events or otherwise. Please note that some of the financial measures to be discussed during this call will be on a non-GAAP basis. These non-GAAP measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with GAAP. We've provided a reconciliation of these financial measures to the most comparable GAAP measures in today's press release and in our presentation, both of which are available on our website. I'd like to now turn the call over to our President and CEO, Robert Buck.
Robert Buck: Good morning, and thank you for joining us today. We're proud to share that in the third quarter, we reached another historic high for TopBuild sales and adjusted EBITDA performance. Our teams did a very good job across both our Installation and Specialty Distribution segment posting top line growth and bottom line profit expansion. This quarter is a prime example of our ability to perform well in any environment. The landscape for Building Products in the third quarter was, in many ways, much like the second quarter. Although we've seen improvement in inflation metrics and the labor market is strong, housing demand in the second half of the year has been slower than anticipated. Single-family residential starts still very widely across the country. Even as mortgage rates drifted lower ahead of the Fed rate cut in September, home buyer behavior suggests that consumers are holding out for a lower rate environment and election certainty. More recently, mortgage rates have been on the rise even. On the multifamily side, we are still working through our backlog. Multifamily demand has slowed and we're not expecting it to improve in the fourth quarter and as we move into 2025. As a reminder, multifamily units typically require about 40% of the installation when compared to a single-family unit and our business is much more weighted towards single-family consistent with the industry. On the commercial industrial side, bidding is still very active, and we have a strong backlog going into 2025. As we talked about last quarter, some project starts have been pushed out, primarily for financing reasons. We have not seen an uptick in cancellations, so we anticipate that when the financing environment improves, these projects will move forward. Turning to our results. We performed very well in the third quarter, given the macro environment. Sales increased 3.6% to $1.37 billion as volumes grew, benefiting from acquisitions and realizing pricing across both installation and specialty distribution. Our adjusted EBITDA totaled $285.1 million, and adjusted EBITDA margin was 20.8%. Moving on to our operations with over 14,000 employees, we are a people business, and every day, excuse me, everyone plays a key role in what we achieve every day. We continue to be pleased with our ability to attract labor align incentives and develop and reward our employees accordingly. On the material side, fiberglass is still on allocation. Planned and unplanned maintenance remains persistent with the manufacturers and the new manufacturing facility in Texas has been slower than anticipated coming online. Our teams are doing a good job managing in the continued tight supply environment. Our Special Ops team continues to be an important part of our story and how we continue to improve productivity and drive profitability, as you see in our results. As I've done on recent calls, I want to spend time highlighting a particular area of our business to provide a better understanding of our differentiated model. Today, I want to briefly touch on Crossroads, our Canadian specialty distribution business in mechanical and metal building installation. Crossroads joined TopBuild through the acquisition of Distribution International in 2021. With this long history in Canada, they're a leader in the commercial, marine and industrial end markets. We operate out of 18 facilities located in key markets across Canada, and our focus is to deliver the best service possible for our customers. Our value-added specialty fabrication capabilities differentiate us from the competition and enable us to be the go-to supplier of innovative products and resources for our customers. Our focus includes both the ongoing maintenance of commercial and industrial facilities and a diverse and impressive list of new construction projects. One of our more notable projects for which we are currently the lead supplier is a liquefied natural gas project on the West Coast of British Columbia. This is the largest infrastructure project in Canada's history. We're also the lead supplier for a large shipbuilding program for the Canadian Coast Guard as well as numerous nuclear power and oil sands projects. Our Crossroads management team is highly accomplished, and we're very proud of their hard work. They've been driving the business forward and have consistently achieved growth above the market. Turning to capital allocation. M&A is a core competency of TopBuild and acquisitions continue to be our number one capital allocation priority. We have a solid track record of generating strong returns for shareholders. We are pleased to have recently announced the agreement to acquire Shannon Global Energy Solutions, a mechanical installation company servicing multinational commercial and industrial customers. Shannon's based in upstate New York and generates approximately $11 million in annual revenue. This brings our 2024 year-to-date acquisition count to 7 for a total of approximately $118 million in annual revenue. Given our robust pipeline and very active M&A environment, we're allocating more resources to support our M&A efforts as we evaluate several opportunities across our end markets. We continue to concentrate on our core of insulation, and we're also learning about opportunities that have the potential to expand our total addressable market. Importantly, we will stay disciplined as we focus on those opportunities that best leverage our core competencies. Also, in the third quarter, we continued our share buyback program repurchasing 1.07 million shares for a total of $413.9 million. As you saw in our press release this morning and considering today's macro environment, we are tightening our outlook on 2024, which Rob will cover in more detail. Before I turn it over to Rob, let me reiterate, we are performing very well in a macro environment that has been choppier than anyone anticipated at the beginning of the year. Despite this, 2024 will be another strong year of profitable growth for TopBuild. We are very well positioned to capitalize on improving demand that we believe will materialize as 2025 progresses. We participate in a great category and industry. And as we differentiate and we have a differentiated business model, the underlying fundamentals are strong, an underbilled housing market in the U.S. right in household formations and the prospect for lower interest rates. These factors, coupled with the critical role that insulation plays in driving energy efficiency and meeting strengthening building codes, demonstrate why we're bullish about the long-term growth opportunity for TopBuild. Rob?
Robert Kuhns: Thanks, Robert. I'd like to extend my thanks to our teams for their hard work in delivering another excellent quarter. As Robert noted, record high sales of $1.37 billion grew 3.6% versus prior year, with both segments showing growth year-over-year and sequentially. M&A, net of a disposition contributed 2.3%, while price was up 1% and volume improved 0.4%. Third quarter pricing of 1% reflects the continued realization of higher fiberglass pricing, net of new price reductions on spray foam driven by increased supply. Turning to our segments. Installation sales grew 4.2% to $856.4 million. Net M&A added 2.7%. Pricing contributed 1.1%, and volume was up 0.5%. Residential sales improved slightly from the second quarter and grew 3.7% versus prior year due to M&A and single-family growth, partially offset by slowing multifamily sales. Commercial sales improved slightly from the second quarter and grew 6.8% versus prior year due to M&A and timing of projects. Specialty Distribution sales rose 5.1% to $600.4 million in the third quarter. Volume improved 3%, acquisitions added 1.4%, and pricing contributed 0.8%. Sales to the residential end market improved slightly from the second quarter and grew by 8.5% versus prior year. Sales to the commercial and industrial end markets slowed slightly from the second quarter and grew by 2.9% versus prior year. Third quarter adjusted gross profit of $421.8 million, or a 30.7% margin was 100 basis points lower than last year. As we've discussed in the past, our 2023 third quarter results included a onetime benefit of approximately $15 million from higher-than-normal margins on multifamily and commercial projects in the installation segment. Excluding this, adjusted gross margin improved by 10 basis points versus last year as we continue to focus on driving productivity and profitability across our operations. Third quarter adjusted SG&A as a percent of sales was 12.8%, an improvement of 40 basis points versus last year. TopBuild adjusted EBITDA in the second quarter totaled $285.1 million or a margin of 20.8%. Excluding the $15 million margin benefit from last year, we expanded adjusted EBITDA margin by 50 basis points. Installation segment adjusted EBITDA margin was 22.3%, a 40 basis point improvement after excluding last year's $15 million benefit. Adjusted EBITDA margin for the Specialty Distribution segment expanded by 20 basis points versus 2023 to 18.4%. Other income and expense of $16.1 million in the third quarter was $3.3 million higher than prior year due to lower interest income, which was driven by lower cash balances. Third quarter adjusted earnings per diluted share of $5.68 improved 4.6% compared to last year. Moving to our balance sheet and cash flow. Total liquidity was $693.6 million at the end of the quarter. Cash was $257.3 million, and we have $436.2 million of availability under our revolver. We ended the quarter with net debt of $1.14 billion, and our net debt leverage ratio was 1.06 times trailing 12 months adjusted EBITDA. Working capital as a percentage of sales was 14.1%, an improvement of 50 basis points compared to prior year. Free cash flow for the trailing 12 months totaled $698 million, representing a 2.6% improvement over the same period prior year. We continue to strategically allocate these strong free cash flows and our capital allocation priorities remain unchanged with acquisitions our top priority. This year, we have announced 7 transactions, and we continue to have a very healthy pipeline. Our second priority remains returning capital to shareholders. And in the third quarter, we bought back $413.9 million or 1.07 million shares. That brings our year-to-date share buyback to $919.2 million or 2.3 million shares. As of September 30, $235.2 million remains under our current share repurchase authorization. Finally, turning to our outlook. We are narrowing our full year guidance. We expect to finish the year with sales between $5.3 billion and $5.35 billion, which represents year-over-year growth of 2.5% at the midpoint. We have also tightened our adjusted EBITDA expectations to $1.055 billion to $1.085 billion. While the macro environment has not played out the way we originally thought this year, 2024 is shaping up to be our ninth consecutive year of sales and profit growth, something we are very proud of. While the choppiness of our end markets is likely to continue into the first half of 2025, we think the underlying fundamentals for demand in our industry remain strong, and we are confident that we will continue to drive profitable growth and increase shareholder value. Robert?
Robert Buck: Before opening up the call to questions, let me reiterate some of my opening remarks. We have a proven, differentiated business model, a disciplined capital allocation approach and an ongoing focus on strong execution and driving improvements throughout the business. As we look ahead, the macro fundamentals of our business are supportive of construction demand growth. We are inherently well positioned to capitalize on the opportunities for increased energy efficiency and strengthening building codes. We continue to have a significant opportunity to drive growth through M&A. Our pipeline is healthy, and we are very active. We have a great track record of evaluating, acquiring and integrating businesses, generating solid returns. We remain committed to building on our track record of delivering increased shareholder value, and we expect 2024 to be another strong year of profitable growth. I'll conclude by thanking our teams for their continued dedication, focus on our customers and commitment to safety. We want to thank you for your efforts to consistently execute and drive improvements across our business. With that, operator, we're ready to open the line for questions.
Operator: [Operator Instructions] Our first question comes from the line of Philip Ng with Jefferies. Please proceed with your question.
Margaret Miller: This is Maggie on for Phil. Rob, you called out some of the current choppiness continuing into the first half of next year. Can you give us a framework for how to think about 2025? And do you have enough levers to continue driving organic top line and EBITDA growth, even if we don't see a meaningful acceleration in single-family starts next year?
Robert Kuhns: Yes, Maggie, this is Rob. So obviously, we haven't put out our guidance for 2025. But as we look ahead, we're optimistic about 2025 that, that could be our tenth consecutive year of sales and profit growth. Obviously, we're dealing with some choppiness in the end markets right now. But overall, like we've talked about the fundamentals we know are strong. We're optimistic that rates will come down next year. And for resi and commercial, that should be good for end market demand. So while we know the headwinds on multifamily, we started to see that hit us in Q3 that we're going to continue to see that into Q4 and into early next year. It's important to remember that 10% of our business, total business, right now, our bidding activity there has actually picked up some. So we're optimistic that things may have bottomed out there, and that could be getting better. And then in the rest of our business, now even if that was down 30% for the whole year, which we don't think it would be, we think, given our -- the share we've taken there, the bidding activity we're seeing, we're not going to be down anywhere near what the market is. But the rest of our business would need to be up -- it has down 30% next year in line with what starts are down year-to-date. We need to be up a little over 3% in the rest of our core business, which we think is definitely doable. So long answer to your question, yes, we still see paths for sales and profit organic growth next year.
Margaret Miller: And then I wanted to dig into pricing. You have the midyear fiber glass increase. Can you talk about realization for that? We've been getting some fee assets, builders are getting some pricing fatigue filled. Just wanted to -- if you could go through how some of those conversations are going? And then on the Spray Foam side, you mentioned price reductions are you starting to see prices stabilize? Or are there going to be continued headwinds in that category?
Robert Buck: Maggie, it's Robert. So on the fiber glass, I think, as Rob pointed out in his remarks, we hopefully saw improvement quarter-over-quarter, Q2 to Q3 on fiberglass. But look, there's been a lot of definitely conversations, thousands of conversations with the builders, given the choppiness and stuff. So overall, we feel like as you can see in our performance, the team has done a nice job there. But it's -- as you might imagine, region by region, local geography by geography conversation and situation. But our overall team has done a nice job. Yes, Spray Foam, definitely -- I think there was a lot of upbeat talk about Spray Foam if you go back as we get another year with a change in energy codes and it just has a pencil half for the builders. So in anticipation of what folks are thinking, you see a lot of supply come into big market, like a Texas. And that's created a competitive situation. We would think that's not sustainable what's happened relative to the decline. So we would see that stabilizing here coming out of 24 going into 25.
Operator: Our next question comes from the line of Stephen Kim with Evercore. Please proceed with your question.
Unidentified Analyst: This is Atish on for Steve. Just sticking with pricing there outside of fiberglass and Spray Foam, how should we think about the pricing dynamics of the other products in the quarter and kind of going forward? Was there deflation there? So if you could touch on that, that would be helpful.
Robert Kuhns: Yes, Atish, this is Rob. So I'd say overall, the other product categories, no meaningful change. The 2 movements from quarter-to-quarter was, as Robert said, we sell improvement in price realization on the fiberglass side from Q2 to Q3. And then in Q3, the new news there was the Spray Foam price decreases that we saw -- we got decreases on the supply side as well as Robert talked about, things got a little more competitive in certain markets with new supply coming online. So that had the opposite impact ending up with kind of the muted 1%. But the other product categories didn't have a meaningful impact.
Unidentified Analyst: It's Steve. Just jumping in. I guess my question, I had kind of just a housekeeping item first. money to confirm that you actually had an extra day this quarter which you included in your volume. And I assume that also you have an extra day in the fourth quarter. So just if you could confirm that. And then a larger question about the commercial projects, the C&I delays. I think last time we met, Robert, you thought that most of those projects were likely only going to be delayed by like a couple of months or something because if they were going to be delayed longer than that, I think you had indicated that the customers would probably like come back to you asking you to extend your quoted pricing, and they weren't doing that. So you said probably they're only delayed a couple of months. I'm curious, has that changed? Are we looking at longer delays now? And if maybe you could describe, if so, what does that make you think about for fiscal '25. Are you going to have more of a bunching of projects in '25. So are we actually going to see more C&I activity in '25 than you previously thought? Or help me think through the dynamics there?
Robert Buck: So Steven, it's Robert. I'll take the first part of that, the commercial industrial side. And then Rob can talk about the days in the quarter. So yes, a big great question that you have there. So there have been more delays. I think the positive is no cancellations that have happened. I think last time when I saw you, we were talking about some big data center projects that we were working on that had been delayed 3 or 4 months at that point. Now we're seeing the projects delayed 3 or 4 months or even a couple of quarters into 2025. So as Rob talked about, I think in his remarks when we talk about special distribution and the volume there, we're pretty happy. So what was driving that has been some good maintenance and repair work. that is hit from the C&I side of the business. So that would say that we expect, assuming a stable finance environment and things improved there, a bigger pickup in the capital projects and the bigger projects on the commercial industrial side in 2025. So bidding remaining active, no cancellation uptick. So I'd say we're positive from that perspective. But definitely, continued delays in projects some a little bit longer. If you take like you may say, well, a mango project or give you some verticals that you may talk about EV and battery plants had be a great example of has some demand that slowed there, projects are getting delayed, pushed out, not canceled. So that would be an example of that, that we see that are a little more extended delays.
Robert Kuhns: Yes. And then just hit on your housekeeping items there, you're correct. It's plus 1 day in Q3 and Q4 on a year-over-year basis.
Operator: Our next question comes from the line of Michael Rehaut with JPMorgan. Please proceed with your question.
Michael Rehaut: First, maybe a little bit also of a housekeeping question. Just to kind of better appreciate the degree of magnitude here given the variety of your end markets and products that you offer. If you could just remind us roughly what percent of sales does commercial represent as well as on the residential side, Spray Foam as a percent of your overall sales or if it's more relevant installation, your installation segment, just to kind of better appreciate the -- again, the impact of some of the mix trends in these areas.
Robert Kuhns: Sure, Mike. This is Rob. So pretty straightforward answer there. Commercial and industrial for our business on the install side, we're -- it's about 15% of our total sales, especially distribution, it's about 60%, and that puts it at TopBuild kind of around 35%. Spray Foam between the segments, on the install side, you're talking 15% to 20% of total sales. Distribution around 10%, and that puts the overall TopBuild at the 10% to 15% type number.
Michael Rehaut: And then -- and I assume when you kind of talk about the commercial projects being delayed, that is, kind of, broadly speaking, referring to the overall commercial industrial numbers that you just quoted.
Robert Buck: Yes, that's correct. So no particular geography to point out or anything like that. It's pretty neutral across the country and even thinking about the verticals that I spoke about earlier.
Michael Rehaut: Because I think also a part of that is there is a portion of the commercial and industrial business, it's kind of more recurring. So I don't know if that would be kind of outside of those percentages, so to speak.
Robert Kuhns: Yes. I mean inside of the 35% is the recurring revenue. And like Robert said, the recurring was strong in the quarter, and our overall C&I for the quarter was up 4% across the company. So more in line with our -- actually a little better than the reduced assumption we had coming into the back half of the year here. We were thinking more kind of low single-digit growth, and that was a little better than we thought in the quarter.
Michael Rehaut: Second question relates more to the M&A backdrop, and we see the continued activity this year. I think going back to the beginning of the year with the SPI deal that fell through for reasons that obviously we're all familiar with. That was a relatively larger deal. And I think there is some maybe concern out there that similar larger deals may be harder to come by. So I'm just kind of curious, your thoughts around -- you kind of continue to talk about the M&A backdrop remaining robust, a lot of activity, a lot of opportunity. Kind of on the medium to larger side, I was wondering if you could kind of review your prospects across your 3 different verticals. I guess it's more relevant to the medium to larger opportunities are more on the commercial and industrial side but kind of where you stand with those types of acquisitions? And how should we think about the next 2 or 3 years as it relates to the potential for additional medium to larger deals?
Robert Buck: Yes, Mike, it's Robert. So I'll take that from a few different angles. So if I look at the current pipeline, what we have under NDAs and deals that were closer to there, it's really across all 3 of the end markets there that we service. And there's some nice chunkier deals in there, $40 million, $50 million, $60 million type of deals, and then there's the smaller $15 million, $20 million type of deals as well. So very active right now, not just active, but I'd say a lot of things that we're working from an M&A perspective. And I think your question is a good question as you think longer term here, I mean, obviously, SPI just remind that point, is a very small piece of that business that got focused on around the MDI piece. So we still see mechanical, industrial side has great opportunity. That's why we do call out Shannon because as we were working on SPI, we kind of slowed some of those in that space, and now we're seeing that activity pick back up, which is a great I think we're excited about what's happening there. But as we think 2 or 3 years, I think it's a key point that we talk about, and that is really -- we're focused on the core competencies that TopBuild has. And our core competency is we're very comfortable and have a competency of running this dispersed branch network type of model with central support. Obviously, we've -- from a culture perspective, what we built relative to this like local ownership, local empowerment piece surrounded by the safety and the technology we have in place. And then obviously, we're known for the labor and how we've been able to attract and retain labor. So models that fit that along with how we leverage supply chain and then able to build through not just organically through M&A, you take those core competencies we find 8 things that I just mentioned. We think that opens up avenues for us that are great opportunities and stuff that are very close to what we do. So we're pretty optimistic and good line of sight for the next 2 to 3 years, how we think about it.
Operator: Our next question comes from the line of Susan Maklari with Goldman Sachs. Please proceed with your question.
Susan Maklari: My first question is around the energy efficiency initiatives that you had mentioned. As the builders are struggling with the affordability headwinds and rates are continuing to move higher versus lower, can you talk about how some of that is perhaps flowing through? And how it may come through over the course of the next year or so?
Robert Buck: Yes, I'll start with that, Susan, it's Robert. So yes, as I mentioned earlier, whenever we're talking about Spray Foam, there have been some excitement. But at the end of the day, the builder is just getting that to tens out hasn't really come to fruition. And so there are other installation, i.e., fiberglass alternatives there that definitely, if you think about like a bone-in blanket which you may have heard the term bids in the industry before that can deftly accomplish and meet the codes as well. So as you know, given our model, we're pretty agnostic, we can go with a lot of different solutions for the builders and that's what we're giving them today. So we definitely see it playing out where these codes are going to be a tailwind, and we're going to be able to satisfy those with fiberglass solutions or other solutions. And there will be some place, I'm sure some folks will use Spray Foam to meet those maybe in the custom or even in the regional sector there. But I don't think it will hold back the implementation of some of the code more stringent codes, if you will.
Susan Maklari: And then maybe thinking about the cost environment a bit, can you just talk about labor, the availability that you're seeing there? Has that changed at all? Has it gotten any better for you? How you're thinking about wage inflation? And then I guess, as it relates to that also, just some of the company-specific efforts that you're pursuing as it relates to being more productive and efficient, especially on some of the distribution efforts there?
Robert Buck: Yes. So from a labor perspective, as you know, has always been a strength for us. And I'd say there's been choppiness in certain markets and stuff, labors that become more readily available. But as we look out further into '25 and some of the things pick back up, we definitely think labor for the industry, not for TopBuild, would be a constraint. Relative to the inflation piece, we really haven't seen it. Just a reminder, the majority of our workforce there is on a piece rate. So whenever we talk about our special ops teams and really working productivity, that's what we're constantly doing. So we've been -- you never really heard us talk much about the wage inflation side because we really worked on improving productivity and things specifically that we're working on there is some better tools that we're putting in place for our teams in the field to make them more efficient of getting on job sites, the in-style perspective as well. So we continue to work those and that includes on the distribution side with our drivers. If you think about from a distribution model drivers being a very important part of the team there. So working activities there to make that group more productive both in warehouses, but the drivers specifically as well.
Operator: Our next question comes from the line of Jeffrey Stevenson with Loop Capital. Please proceed with your question.
Garik Shmois : It's Garik Shmois on for Jeff. I was wondering if supply constraints on the fiberglass side had any impact to volumes similar to what you saw in prior quarters and maybe just speak broadly how you're positioned from inventories going into the fourth quarter, just given the supply constraints you talked about.
Robert Buck: Yes. It's Robert. So third quarter saw some fluctuations relative to supply. I would say, was tighter to start the quarter eased up in some of the choppier markets somewhat during the third quarter, maybe in the August time frame, early September. But as some maintenance started hitting and some unplanned maintenance started hitting definitely material tightened up again here as we came through October. So a little fluctuation in that. Some impact in Q3 from a tight environment. I'd say sitting here, going into Q4, we think we're positioned well from that perspective as we see as we got through October, and we know the Knauf plant in Texas, which you mentioned. This lower coming online, we expect it to be up and going here towards the end of the year, heading into 2025. So I think we feel pretty comfortable from that perspective. Obviously, everything will be supply-demand driven there. So we'll see what happens with the starts here coming up in the next 30, 60 days as well.
Garik Shmois : And just wondering if you could provide maybe some more color just geographically what you're seeing by region.
Robert Buck: Sure. So if I think about -- let me just kind of think about this a little bit, maybe going through the country. So if I think about the Northeast, maybe Mid-Atlantic, maybe the Northwest, Northern California, I think we've seen some improvements there. If I look at bid activity and sales, so I'd say seeing some improvement in those areas. If I think about kind of steady. I'd say steady regions are kind of the Utah, Idaho, the Carolinas, Colorado, Dallas has continued to pull through well as well as San Antonio, Denver. And then if I said some areas that used my term choppy, I'd say maybe like Southern California, certainly, Arizona markets, Austin would be a good example of that, Houston a little bit as well, but think about Texas. And then Florida some, but it's just kind of the market by market there. I think maybe on a previous call or previous conference, I mentioned. The Naples area, that would be a slower one, but we continue to see Orlando be strong. And Florida has got a little bit of impact. If you think about the hurricanes and stuff as well. So I think that one will continue to be steady and improve. But hopefully, that gives you a little flavor for you around the country.
Operator: Our next question comes from Keith Hughes with Truist. Please proceed with your question.
Keith Hughes: In the fourth quarter guide, what are you expecting your multifamily business in terms of dollars or units, however you want to do it to be down?
Robert Kuhns: Yes, Keith, this is Rob. So we don't split it out between single-family and multi-family. I mean we're still expecting our total resi sales for the full year, I'd say, when you put it all together, we're looking at the full year kind of flat on total resi sales. So you can kind of back into a fourth quarter assumption there has a slightly negative from a resi side. And obviously, multifam would be driving the bigger chunk of that.
Keith Hughes: And do you think whatever that number is, it seems like that's probably going to get worse at the beginning of the year. Is that directionally where you see the market going?
Robert Kuhns: Yes. I think multifamily will be a challenge as we move into Q1 and Q2, but like we were talking about, we've actually seen some of our bidding activity pick up there. So we think we're going to do better than the market on that side of things. And then like I pointed out earlier, the fact that it's 10% of our total business we don't need to see too big of an uptick on the single-family and commercial side to offset it. So -- we're -- obviously, 2025, a lot of variables still to be seen, but we're cautiously optimistic, like I said earlier, that it will be another year of growth. But probably definitely tougher first half versus second half, I would say next year.
Keith Hughes: And I guess on the pricing side, the -- just not been up much this year. What do you think it would take to get back to some higher inflation in terms of what you're getting from your suppliers as well as what you can put to your customers?
Robert Buck: Yes. Keith, it's Robert. I think a couple of things. One is we definitely see the demand. So I think more of a even or steady increase on the single-family starts, as we talk about, you can have -- as Rob said, we're going to perform better than the market on multifamily, whatever that looks like, but a lot more fiberglass as you very well know, goes into a single-family unit. So I think the demand side on a single family. And then I think you're going to see the codes continue to kick in here in 2025 as well. And then we're seeing the builders prepare for that. So I think that's going to -- we think material will be tight in 2025, but I think we're set up well for that.
Operator: Our next question comes from the line of Rafe Jadrosich with Bank of America. Please proceed with your question.
Shaun Calnan: This is actually Shaun Calnan on for Rafe. First, on the Spray Foam price changes, can you talk about the cadence of price changes there? Are they consistent? Or is this more of a dynamic pricing model versus fiberglass. And then how is the spread between fiberglass and a foam changed over time?
Robert Buck: Yes. Shaun, it's Robert. So on that question, if you fly to think about how it's changed over time, as you know, if you go back there and you come with some of the material constraints of 2020 and 2021, dramatic inflation from a Spray Foam perspective. That's definitely gotten more realistic or pull back here, I will say, in the last 18 months. But it's still, I'm going to say, 2.5 times or potentially more than fiberglass. And then if you think about from a call/price environment, it's pretty dynamic. There is a lot of optimism fueled the early part of the year about the builders and energy codes and using fiberglass, especially in some really big markets like Texas, Southern California, Florida, Again, some of that's been harder for the builders to pencil out. So you've seen -- you saw more supply come on, more blenders come on, and that created some dynamics around the pricing cost side. We don't think that's sustainable. And so that's why we've said earlier, we think that stabilizes heading out of '24 or early '25. So that's kind of the dynamics of what's happened a little bit of the history as well.
Shaun Calnan: And then you mentioned that you guys are looking at opportunities to expand the addressable market. Can you just kind of expand on what those opportunities are that you're evaluating? Are these new products or markets? And then is it more on the installation or distribution side?
Robert Buck: Yes. I think relative to growth in M&A, I mean, we're always looking at any opportunities in our core business. I mean, when we think about our core business, there's so much runway still left in our core business. And if we think about residential, commercial, industrial, around, building insulation and commercial, mechanical, industrial insulation solutions. So a lot of runway there. So as we look at acquisitions, we're already looking at geographies where would be good opportunities for us or MSA. So let a runway there that drives into our thoughts. And as we look longer term, the 2 to 3 years, it's really about these core competencies. I think given our history of going back preop, we really learned a lot about M&A, and I think you've seen a very successful track record since '17 in this business. and it's because you got to build M&A off of core confidence season. So I've talked about our core competencies, which goes from a culture to our confidence, comfort level and competency we have around M&A and running this dispersed model with central support in the background. We're very, very good at labor. We're very good at driving productivity in the model and supply chain leverage. And so we're not going to do anything outside those core competencies. And that's how we think about it. And it's given us really good line of sight as to what that looks like here in the coming time frame.
Operator: Does that complete your question?
Shaun Calnan: Yes.
Operator: Our next question comes from the line of Ken Zener with Seaport Research. Please proceed with your question.
Ken Zener: Appreciate your comments regionally. I like your positive, steady and choppy market definition. Given that you and competitors have probably the best data on housing -- new housing activity in terms of bids. Within that context, could you maybe just comment on how your team -- your salespeople are conveying positive, steady choppy to you in terms of like the bidding? Is there price pressure? If there's obviously volume pressure, given the rising number of finished homes that builders have, right? It seems like they're pulling back on starts a little bit and obviously, rates have gone up in the last 6 weeks. But could you maybe give us some context for this, if it's a supply issue, it's a demand issue if your teams just say pricing is an issue or they're pushing back on it? But also, given your perspective, does this make sense what's happening, just kind of micro cycles where it takes a little bit to get adjusted to interest rates because it's very interesting and I think you're view matters.
Robert Buck: Ken, it's Robert. I'll start. I'm sure Rob will have some color to add as well. So yes, it is. One of the many good things about central ERP that we have is we're able to see those big rates looking out across the country by geography, by MSA. And so that drives our commentary as well as our cadence with the field of understanding what they're seeing. But I think you're right. I think there's this calibration time period of addressing some of the political uncertainty, those types of things that's going to happen as well. So it's probably an adjustment period that happens. But I would say, obviously, talking to our builders, which we do about what their outlook is for '25, whether it be first half, back half that type of thing. That's where we get our information from and that's pretty fact-based coming from a combination of our conversations, our field people as well as what we can see from a big weight perspective in our ERP system. .
Robert Kuhns: Yes. I mean, I'll just add to that, Ken, I think, as Robert stressed earlier, it's really a market-by-market situation out there. even within states like Florida and Texas, we're seeing differences. So that's the choppiness we refer to. And I think, ultimately, from a broader view. Rate certainty, we definitely saw, as rates went up, that rate certainly played a big player there as rates were going up, people hit pause. And then once rates stabilize and people realized the 3% mortgages weren't coming back anytime soon, demand came back. Obviously, the buydowns from the builders have helped that a lot, too. But now with rates heading in the other direction, -- at some point, we hope, right? You're kind of seeing that same pause button, I think from some buyers out there where they're saying, okay, well, if I can get this cheaper in a few months, I'll sit here on the sideline. So I think that's a big driving factor behind what we're seeing there in the choppiness.
Robert Buck: As we said, the long-term fundamentals are solid. And so I think to break loose here where people get comfortable in the environment, rates do stabilize, get some of the uncertainty out of the way and maybe even filter for some of the promises that have been made from that perspective, we definitely will be ready from a top perspective. As you know, Ken's labor is a strength for us. We feel good about the material situation, how we're situated there as well. So I think as things do improve, we're going to be ready.
Ken Zener: Really appreciate that. Maybe if I could come at it from another angle. Because you have a broad perspective on the national housing. And I think people like myself get sometimes overly biased by what the public builders are saying. So many of the public builders are calling for like 10% growth. Is that kind of consistent with the public versus the private delta as they think about their business next year? Because starts probably aren't growing 10% overall, but many builders are looking for 10% growth. Does that mean the publics are still gaining a lot of share? Or is that really just that we're focused on Orlando, Dallas and not enough on Michigan or the smaller markets?
Robert Buck: Yes. As we think about our custom builders, which we do major work with custom builders and the regional builders, there, I think feedback is a stabilized rate environment. and where they expect that they expect a nice improvement in their business as well because they haven't been able to do the buy-downs and stuff that large publics have. So as you get to that more stable environment and the outlook for those moderated rates, I'd say the regionals and the small custom builders feel positive as well.
Operator: [Operator Instructions] Our next question comes from the line of Adam Baumgarten with Zelman & Associates. Please proceed with your question.
Adam Baumgarten: Just on the pricing side, can you put a finer point on the magnitude of the headwind to overall pricing from the spray foam declines just because I know you're kind of talked about the fiberglass side improving on a year-over-year basis from 2Q to 3Q, but I think it was offset by spray foam. So any color on the magnitude just so we can get a better apples-to-apples comparison on the fiberglass side.
Robert Kuhns: Yes, this is Rob. So I'd say the Spray Foam impact, it was about 130 basis points on the price. And then the other thing to keep in mind when you look at our price number 2 is it's a price mix, right? So as you see shifts in customer or regions or products, we also have some impacts there. But by far, the biggest headwind to the improvement in fiberglass was the spray foam price decreases, and that was about 130 basis points.
Adam Baumgarten: And then just to clarify on the kind of tightening of the guidance range and the midpoint coming down, was that solely due to lower single-family or just overall residential growth in general, not any change at this point in your C&I outlook?
Robert Kuhns: Yes, I'd say it was definitely resi focused, not C&I. The drop last quarter was more driven by the choppiness in C&I this quarter, I'd say it's residential and primarily multifamily, right? Some of the backlog we thought would come through in the third quarter. We saw some delays with some of that backlog. So definitely seeing some slowing on the multifamily side. And then it's important to keep in mind the hurricanes too, right? Certainly, the midpoint and higher end of our range didn't contemplate the hurricanes that we've seen in the third and fourth quarter now, I'd say it was about a $10 million impact in Q3. And roughly about $8 million here in Q4.
Operator: We have reached the end of the question-and-answer session. Mr. Buck, I would like to turn the floor back over to you for closing comments.
Robert Buck: We appreciate you joining us today and your interest in TopBuild. We look forward to seeing many of you in person at conferences later this month and in December. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.